Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Trxade Group's Third Quarter 2020 Earnings Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. This conference is being recorded today, October 26, 2020. An earnings press release accompanying this conference call was issued at the close of market today. The quarterly report, which includes the Company's results of operations for the quarter ended September 30, 2020, was filed with the SEC today. On our call today is Trxade Group's Founder, Chairman and Chief Executive Officer, Suren Ajjarapu; and Howard Doss, as Chief Financial Officer. A replay of this call and webcast will be available for the next 30 days on the Company's website under the NASDAQ: MEDS link. The Company's website also includes more supporting industry information. At this time, I'd like to turn the call over to Howard Doss, the Company's Chief Financial Officer Howard, the floor is yours.
Howard Doss: Thank you, operator, and thank you for joining us today. I'd like to welcome you to our third quarter 2020 financial results conference call. Our press release announcing our third quarter financial results was issued after the close of market today and is posted on our website. We have also published a copy of the presentation that accompanies this call and webcast on our website and furnished press release and presentation to the SEC on Form 8-K. Statements made on this call and webcast include forward-looking statements. These statements include, but are not limited to, our outlook for the Company and statements that estimate or project future results of operations or the performance of the Company, including the potential impact of COVID-19 on the Company's business and results of operations. These statements speak only as of the date hereof, and the Company assumes no obligation to revise any forward-looking statements that may be made today in today's press release, call or webcast. These statements do not guarantee future performance and are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents we filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q for information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, in today's call and webcast, we discuss non-GAAP financial measures which we believe are useful as supplemental measures of Trxade's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or an isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal year 2019. At this time, I'd like to turn the call over to Suren Ajjarapu, the Company's Chief Executive Officer. Suren, the floor is yours.
Suren Ajjarapu: Thank you, Howard. Before we walk through our financial and operational results for the quarter, for those of you who are new to the Company, I'd like to walk you through who we are, how we are revolutionizing the way independent pharmacies procure drugs. Prior to the launch of our company, obtaining drug cohorts as an independent pharmacy was an extremely laborious and time-inefficient process with no insight or transparency into a fair market price or what others are paying for the same drug. Traditional wholesalers would provide unfavorable payment terms, slow delivery, create a difficult conundrum for the opportunity for approximately 22,000 independent pharmacies nationwide. We identified this market inefficiency as well as the incredible potential in these independent pharmacies, which together maintained approximately $78 billion in annual purchasing power and proceeded to launch Trxade. We designed, own and operate a business-to-business web-based market platform bringing together the nation's independent pharmacies with accredited national pharmaceutical suppliers to provide a uniquely efficient and transparent buying and selling process. Our platform lets independents pharmacies know that they are receiving a fair price from competing suppliers on fair payment terms and often with next-day delivery. We believe this radical price transparency and economy of scale and competition amongst supplier's leads up to a 10% reduction in pharmacies total annual drug purchase costs, with a drug level savings of up to 90% on certain pharmaceutical products. Our platform saves pharmacists from having to manually compare prices across distributors, saving hundreds of hours of unnecessary labor annually, and eliminating negative reimbursement or fulfilling a prescription at a loss. Our revenue model is simple; we charge a 3% to 4% transaction fee based on the value of a drug purchases transacted on our platform, similar to a PayPal or Visa-like model. To date, we have seen incredible success in garnering attention from independent pharmacies nationwide validating our business model. We currently have around 11,800 pharmacies on our platform, representing over 50% market penetration into the 22,000 independent pharmacies nationwide. Our growth drivers for the Trxade platform are two-fold: one, increasing the average purchases per pharmacy so that pharmacies transact an increasingly high percentage of their total drug purchases through the Trxade platform; second, continuing to expand our market penetration, adding new independent pharmacies to our network. Now, proceeding to our third quarter 2020 financial and operational results; we continue to see strong revenue and net income growth compared to the same quarter in 2019, while returning to profitability and continuing to grow average spend from pharmacies on our proprietary platform. We continue to expand our affiliated services offering during Q3 with our telemedicine subsidiary, Bonum Health, launching Bonum+, a B2B platform that bundles telehealth, a COVID-19 assessment tool, and a personal protective equipment purchasing tool through a secure mobile dashboard for corporate clients. We're excited about this platform as it resolves a fundamental trust problem and impacts product safety, security policies to more effectively combat COVID-19 in the workplace. Bonum also announced a prescription savings partnership with SingleCare, a free prescription savings service. This partnership enhances Bonum's enterprise telehealth solutions with prescription discounts offered to national, regional or local pharmacies to promote the benefit to uninsured patients and underserved communities. On the capital markets front, we were proactive throughout the third quarter attending three investor conferences; the LD 500 Virtual Conference, the 2020 Colliers Institutional Investor Conference, and H.C. Wainwright 22nd Annual Global Investment Conference, all with the goal of enhancing broader investment -- investor awareness of our growing company. I'd like to now turn the call over to our Chief Financial Officer, Howard Doss, to walk through some key financial highlights from the third quarter of 2020.
Howard Doss: Thank you, Suren. Revenues for the third quarter of 2020 increased 174% to $6.3 million compared to revenue of $2.3 million in the same quarter last year. The increase in revenue was primarily due to strong personal protective equipment sales in the third quarter driven by the COVID-19 pandemic. Gross profit in the third quarter of 2020 increased 47% to $1.9 million or 30.5% of revenue compared to a gross profit of $1.3 million or 56.7% of revenues in the same quarter last year. The increase in gross profit was primarily attributable to high-volume lower-margin sales of personal protective equipment, also known as PPE, in our Integra Pharma unit. The percentage of gross profit will continue to be determined by the mix of PPE and Trxade platform sales. Operating expenses for the third quarter of 2020 were $1.8 million compared to $1.1 million in the same quarter last year. This increase is primarily due to non-cash stock-based compensation expenses, IT expenditures and marketing expenses. Net income in the third quarter of 2020 was $0.14 million or $0.02 per basic and diluted share outstanding compared to net income of $0.3 million [ph] or $0.00 per basic and diluted share outstanding in the same quarter last year. Adjusted EBITDA or a non-GAAP financial measure, increased 150% to $670,000 compared to $270,000 in the same quarter last year. Looking at the balance sheet, cash and cash equivalents were $6.6 million as of September 30, 2020 compared with $4.1 million as of June 30, 2020. The increase in cash was due to a decrease in accounts receivable and inventory at the end of the current quarter compared to the last quarter. We do not currently foresee a need for further capital to support our business. Suren?
Suren Ajjarapu: Overall, I'm pleased with our strong year-over-year revenue growth and increased profitability in the third quarter as personal productive equipment sales and core platform growth over the same period in 2019 continue to be key drivers of our business. As a Founder of Trxade, I firmly believe that we are well positioned to continue to create a sustainable value for our stockholders. I look forward to continuing operational execution in the fourth quarter and well into 2021 and beyond. With that, I'll turn it over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] And our first question is from Brooks O'Neil with Lake Street Capital Markets. Please proceed with your question.
Brooks O'Neil: Yes. Good evening, guys. I was hoping perhaps you could give us a little more information about the breakdown of the revenue between the PP and Trxade pharmacy-related revenues. And could you tell us if there was any revenue related to your telehealth initiative as well?
Suren Ajjarapu: Howard, do you want to take that question?
Howard Doss: Yes, absolutely. The -- in the 10-Q we breakout by segment.
Brooks O'Neil: Sure.
Howard Doss: So for the nine months ended September 30, Trxade's platform had about $4.3 million in revenue. Our pharmacy had about $1.3 million in revenue. Integra Pharma, which is our wholesaler had about $9.5 million in revenue. And Bonum Health is just starting to identify some revenue, we're at about $25,000 there.
Brooks O'Neil: Okay. And can you talk a little bit about how you see the margin trends unfolding maybe over the next year or so?
Suren Ajjarapu: We usually don't give away the future projections book but we will be continuous to operate, as I mentioned, as a tech company. If you are looking for tech margin from the platform, we still continue to see them. But on the PPE side, because we have to procure the drug and supply and demand will dictate those margins. As we see the continuous effects of the coronavirus, but unable to determine on the PPE side. Howard, if you want to add anything, please go ahead.
Howard Doss: No. I think that's right, Suren. Brooks, the gross margin percentage is really going to be driven by the -- how PPE sales are as a percentage to the platform revenue. Because that's -- I mean, that's really what's going to drive it. So, if we're fortunate enough to have a good PPE sales going forward, then you'll get the compression on a gross profit revenue margin; if you don't, the net margin is going to be larger.
Brooks O'Neil: Sure. But those PPE sales are profitable, aren't they?
Howard Doss: Absolutely.
Brooks O'Neil: Yes, that's great. Okay. And then, I'm just curious; I think I saw you file $100 million shelf [ph] tonight after the close and I appreciate your comment about that needing additional capital. Are you just doing that kind of bottom general prudent corporate governance or how do you think about it?
Suren Ajjarapu: Not tonight, Brooks. It's been filed in the last quarter. So definitely, as I mentioned earlier, the shelf has been placed but the 3-year shelf as you're aware. For our operations, we don't need cash but it needs strategic opportunities that will come into play, and we definitely would like to raise the capital and that's where the shelves come into play.
Brooks O'Neil: Okay, I'm sorry. Thank you very much for that clarification, and all that makes sense. Thanks for taking my question.
Suren Ajjarapu: Thank you.
Operator: And our next question is from Gene Mannheimer with Dougherty & Company. Please proceed with your question.
Gene Mannheimer: Thanks. Good afternoon. Congrats on a good quarter guys. To what -- to what degree or to what would you attribute the flattish platform revenue sequentially?
Suren Ajjarapu: Thanks, Gene. I'll first give it a shot at it, and then I'll let Howard explain. As we increased the performance we purchase quarter-on-quarter, the flat growth metal coming in the percentage of tissue that we collect from a band versus generics. So in this quarter we might have increased the brand, and that's where we see the flag revenue. And the second effect maybe as some of these remote locations where you see the riots are happening and stuff, some pharmacists are still shutdown, and -- so those are the two had an effect on our flat growth of our platform revenue.
Gene Mannheimer: Okay.
Howard Doss: No, no, you got it right on the head, Suren.
Gene Mannheimer: Okay. So just so I'm clear Suren, that I heard you, right. It's -- part of it is a mix of brand versus generics ordering?
Suren Ajjarapu: Correct.
Gene Mannheimer: Okay. And in terms of those growth drivers you talked about one, increasing average purchases per pharmacy and the other adding new -- net new pharmacies to the network. What is -- what is maybe if you could talk a little bit about the rate during the quarter at which you added new pharmacies. And if you could characterize how that same-store growth of your pharmacy base is trending?
Suren Ajjarapu: Sure. Year-on-year we think we've gone over the last 2019 to now 17% growth. And we've seen the pharmacy purchase per month last quarter to this quarter, we see almost like 4.52% growth that we see. And the other numbers, Howard, please take it over.
Howard Doss: No, I think I think, Gene, one of your questions is the average spend per pharmacy, and we actually saw that on a sequential basis go up from the end of the second quarter to the third quarter. And I think the number of new pharmacies, we added about 144 this third quarter, which is a little less than we've added in previous quarters. And I think part of that is a little bit of a headwind with the COVID as far as pharmacies are focusing on other things right now as opposed to different outlets to purchase.
Gene Mannheimer: Makes sense. Thanks, Howard. And my other question would be, I think, many of us are wondering in terms of the Integra line, how sustainable is that -- are those PPE revenues? I know in Q2, at the onset of the pandemic, we saw a big spike there. It sure looks like it sustained that level of demand in Q3. Is this the right run rate to be modeling the PPE sales? Thank you.
Suren Ajjarapu: No, Gene, that's not the right model. We still see the effect of -- there's still supply and demand disruption there. I don't see that will have the same expected growth because a couple -- like, December is usually the slow month for the pharmacies to purchase and unless until there is a second wave maybe hitting. But still we see supplier situations all across the world, whether it's a APB, glove or a mask and staff. So I don't anticipate a similar growth. But at least you can see some impact a little bit on the PPE sales this quarter also.
Gene Mannheimer: Makes sense. Last question from me then, if I could. Did you see any impact from flu vaccine demand during the quarter? And what's your expectations for Q4?
Suren Ajjarapu: Sure. That's a great question, Gene. Yes, we see that, and most of the suppliers are out of it and especially the APIs that are coming from China or finished goods that are coming from India, we still have some supply issues and we're unable to meet the demand. That could be another reason why we see a flat growth in our revenue also. So we could not supply that [indiscernible] medication.
Gene Mannheimer: I see. Okay, thanks and great progress. Thank you.
Suren Ajjarapu: Thank you.
Operator: Our next question is from Howard Halpern with Taglich Brothers. Please proceed with your question.
Howard Halpern: Congratulations on the quarter, guys.
Suren Ajjarapu: Thank you, Howard.
Howard Halpern: On the PPE side, though, is it strictly the demand from your independent pharmacies? Or have you work towards may be getting some business from state, local or school contracts for PPEs?
Suren Ajjarapu: That's a great question, Howard. Yes, so we do still look outside pharmacies [ph] and high schools -- schools and stuff like that. Yes, to answer your question, yes.
Howard Halpern: Okay. And as part of -- will part of the PPEs going forward also include rapid testing products for independent pharmacies and state and local in addition to masks and other protective equipment?
Suren Ajjarapu: That's a great question, Howard. I wish I could tell you some of the these regulations. FDA left alone, follow the CDC guidelines. That gave us a road block for these independent pharmacies to execute or conduct these tests on their site. If that opens, yes, we can see the spike in sales. But we have identified the suppliers for these rapid test kits, but it's unfortunate that these independent pharmacies cannot execute the tests on-site unless until they have a CLIA waiver or CLIA certification. So, still we are following the -- unfortunately the CDC guidelines, but we have to follow. Once they open up, yes, we can see the -- to answer your question, yes, one of the PPEs -- along with the PPEs, the test kits are going to play a role.
Howard Halpern: Okay. And if you could just go over a couple of the initiatives you are undergoing on the Bonum Health telehealth services? Because as we're heading into the winter months and the spike is occurring, more people probably would be back home. And so, what are you doing to grow that business?
Suren Ajjarapu: So, as you have seen, we have launched Bonum+, primarily the employer solution to bring in the safe and trustworthy environment to provide to the workers, and we want to see the growth going on that aspect of it. And the second thing, we'll partner with a prescription drug company called SingleCare that offer -- that have around 50 million [ph] patients in their discount card program. They can provide our Bonum Health tool to them. Eventually, our goal is -- as I mentioned, all our reason was, for our Bonum Health, for a non-emergency service, patient should never leave the house, should be able to talk to the doctor, get the drug delivered using our independent pharmacies. And if they can get a discount card, so be it.
Howard Halpern: Okay. And one last question, modeling question. Share-based compensation, should we continue to model it at that $500,000 level? Or is that going to start coming down?
Suren Ajjarapu: Howard, do you want to take that? Okay. He is not there, Howard.
Howard Doss: Yes, I'm sorry. The non-cash compensation will probably come down into the fourth quarter. As far as what it's going to look like in future years? That's really kind of more up to the Board and how they -- and the Compensation Committee and how they structure the bonuses at the end of the year.
Howard Halpern: Okay. Thanks a lot, and keep up the great work, guys.
Suren Ajjarapu: Thanks, Howard.
Operator: And our next question is from Carlo Corzine with Dawson James. Please proceed with your question.
Carlo Corzine: Hey, guys, great quarter of course. Wanted to see -- a couple of things on the balance sheet stand out. Deposit -- inventory deposit per million, also inventory up considerable -- medications normally aren't something you inventory. So is this all the PPE?
Suren Ajjarapu: Yes, Carlo, thanks for the question. They're more likely the PPE that we're trying to -- because all these are production line. You've got to get into the production to meet the supply and demand. Yes, to answer your question, yes, that's PPE.
Carlo Corzine: So as far as the logistics, are you receiving the inventory and having to send it out yourself?
Suren Ajjarapu: As far as the logistics are concerned, yes, they are -- some of them are coming from the overseas and stuff, so you have to put in the deposits to plan 60 to 90 days in advance.
Carlo Corzine: Got it. One other quick question, of the 22,000 independent pharmacies, and you work with over half of those, and I know we had talked in -- that some of them had shut down temporarily during the March through, who knows what period of time, maybe till August. Did it -- what kind of percentage did you have that has not opened yet or actually closed because of financial during this time?
Suren Ajjarapu: Specific number, we don't, Carlo. But we are continuously monitoring how many pharmacies are keeping buying for it and as the supply and demand disruptions are going on. So, I don't have that figure handy right now, how many stores have shut down.
Carlo Corzine: Did most of them -- not a percentage, but most of them that were closed down for a couple of months, which I'm sure hurt your sales a little bit, are now open again for the future sales.
Suren Ajjarapu: Correct.
Carlo Corzine: Okay, all right. That's it. Thanks.
Suren Ajjarapu: Thanks, Carlo.
Operator: And we have reached the end of our question-and-answer session, and I will return the call back over to Suren for any closing remarks.
Suren Ajjarapu: Thank you, operator. I'd like to thank you all of you for joining our call or webcast. If we were unable to answer any of your questions, please reach out to our IR firm, MZ Group; we'll be more than happy to assist. Thank you again for joining us today. We look forward to continuing to update you on our ongoing progress and growth. Remember that the replay of this call and webcast will be available for the next 30 days on the Company's website under the NASDAQ: MEDS link; and that more information regarding the financial information disclosed on this call and webcast, including a reconciliation of non-GAAP financial information, can be found in our press releases, which we filed after the close of the market today. Thank you all.
Operator: Thank you for joining our call. You may disconnect. Thank you and have a great day.